Operator: Ladies and gentlemen, thank you for standing by. Welcome to the National Health Investors’ First Quarter 2014 Conference Call. (Operator Instructions) As a reminder, this conference is being recorded, Monday, May 5, 2014. I would now like to turn the conference over to Tripp Sullivan of Corporate Communications. Please go ahead sir.
Tripp Sullivan - Corporate Communications: Thank you, Denise. Good morning everyone. Welcome to the National Health Investors Conference Call to review the company’s results for the first quarter of 2014. On the call today will be Justin Hutchens, President and Chief Executive Officer; and Roger Hopkins, Chief Accounting Officer. The results, as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were released overnight and a press release has been covered by the financial media. As we start, let me remind you that statements in this conference call that are not historical facts are forward-looking statements. NHI cautions investors that any forward-looking statements may involve risks or uncertainties and are not guarantees of future performance. All forward-looking statements represent NHI’s judgment as of the date of this conference call. Investors are urged to carefully review various disclosures made by NHI and its periodic reports filed with the Securities and Exchange Commission, including the risk factors and other information disclosed in NHI’s Form 10-K for the year ended December 31, 2013. Copies of these filings are available on SEC’s website at www.sec.gov or at NHI’s website at www.nhireit.com. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company’s earnings release and accompanying tables and schedules, which has been filed on Form 8-K with the SEC. Listeners are encouraged to review those reconciliations provided in the earnings release, together with all other information provided in that release. I’ll now turn the call over to Justin Hutchens. Please go ahead.
Justin Hutchens - President and Chief Executive Officer: Thank you, Tripp. Good morning, everyone, and thank you for joining us. With me today is Roger Hopkins, our Chief Accounting Officer. This is an active quarter for us and then terms of the long-term growth and financial strength of NHI, just as an important as fourth quarter’s completion of the holiday transaction and our equity offering. We reported a 13.4% increase in normalized AFFO, completed a $200 million convertible note offering, a very attractive pricing put in place a new $700 million credit facility executed on two acquisition opportunities from our pipeline and raised 2014 guidance. I’ll comeback in a few minutes to talk about the implications of all of this activity on our growth plan. Roger will provide some color on the quarterly results.
Roger Hopkins - Chief Accounting Officer: Thanks, Justin. Good morning, everyone. My comments this morning are consistent with our disclosures in Form 10-Q, our earnings press release and our supplemental data report filed this morning with the SEC. This morning, we also filed a form 8-K which describes changes to our previously reported performance metrics, a funds from operations, adjusted funds from operations and funds available for distribution to include the impact of all depreciation of assets associated with our triple net leases, thereby reporting our metrics on a basis consistent with the majority of our peer companies. We are pleased to report a very strong quarter of financial results. Normalized FFO for the first quarter was up 22.1% to $34,669,000 or $1.05 per diluted common share compared with the prior year and includes an adjustment for the write-off of debt issuance cost due to our new credit facility modifications. Normalized AFFO for the first quarter was up 13.4% to $30,874,000 or $0.93 per diluted common share compared with the prior year and includes adjustments to exclude our straight line rental income and amortization of no discount in issuance costs. Normalized FAD for the first quarter was up 10.2% to $32,223,000 or $0.97 per diluted share compared with prior year and includes an adjustment for our non-cash stock-based compensation expense. Our results for the first quarter of 2014 are reflective of our strong acquisition volume throughout the previous year when we funded approximately $750 million of new investments in real-estate assets. Our new investments in 2014 occurred at the end of the first quarter. Net income attributable to common stockholders for the first quarter of 2014 was up 26.8% to $23,533,000 or $0.71 per diluted share compared with the prior year and included the write-down of $2,145,000 of debt issuance cost mentioned earlier. Large transactions that are infrequent or unpredictable in nature that affect net income are adjusted in our reconciliation of our net income to normalized FFO, normalized AFFO and normalized FAD. Our revenues for the first quarter were up 59% to $16,010,000 compared with the same period in 2013 due to the volume and timing of our new investments in 2013. Our purchase and lease back of 25 independent living facilities in late December from holiday generated $10,954,000 of rental income or 25% of our total revenues for continuing operations. Of which, $7,979,000 was billed rent and $2,975,000 was straight line rent for financial statement purposes. The revenues from our RIDEA-structured joint venture with Bickford amounted to $5,421,000 in the first quarter and represents 12.5% of our total revenues from continuing operations. Our RIDEA joint venture with Bickford currently owns 29 assisted living and memory care facilities, of which two opened in late 2013 and are not yet stabilized, and there is also one facility under construction and is expected to open by the end of the third quarter. Our current annual contractual lease revenue from the operating company in the joint venture is $19,108,000 plus annual escalators in operating cash flow. We had no sales of assets during the first quarter. We had adopted the FASB’s new accounting standard whereby disposals of assets will be reported as discontinued operations only when the disposal represents a strategic shift that will have a major effect on our operations and financial results. For 2013 and prior periods, there is no change in disclosure whereby the revenues and expenses for those years presented in our income statements exclude those properties that were sold or that may be accounting criteria is being held for sale with such revenues and expenses being reclassified the discontinued operations. This reclassification had no impact on previously reported net income. Rental income from our owned assets represented 93% of our first quarter revenue. Interest income on our notes represented nearly 4%, and investment income represented 3%. Depreciation expense increased $4,989,000 in the first quarter of 2014 as compared to the same period in 2013 as a result of the volume of our new real-estate investments in 2013. Our interest expense and amortization of no discount in issuance cost increased $5,765,000 during the first quarter compared to the same period one-year ago as a result of additional borrowings to fund their new real-estate investments in 2013 and the $2,145,000 write-off of debt issuance cost required for accounting purposes related to modifications to our bank credit facility. Interest expense included amortization of $368,000 related to debt issuance cost. Our general and administrative expenses for the first quarter of 2014 decreased $154,000 from 2013 due mainly to lower non-cash stock-based compensation expense of $1,349,000 compared to $1,580,000 in 2013. We estimate the market value of our stock options granted each year using the Black-Scholes pricing model. Expenses recorded for accounting purposes over the best in schedule of stock options granted. For the next three quarters of 2014, we estimate our share-based compensation expense will be approximately $225,000 per quarter. We ended the first quarter with cash and investments and marketable securities of $19,683,000. During the quarter, we successfully executed terming out debt and fixing the majority of our interest expense. In March, we issued $220 million of seven-year 3.25% senior unsecured convertible notes. The notes have a conversion price of approximately $71.81 per share. NHI’s conversion obligation maybe satisfied at our option in cash, shares of common stock or combination of both. The fair value of the debt and equity component of these convertible notes is described in the footnotes to the consolidated financial statements. The discount of the notes created by this fair value estimate is amortized over the life of the notes. On March 27, we entered into an amended $700 million senior unsecured credit facility with a syndicate of banks. The amended credit facility provides for a $450 million revolving credit facility that matures in five years, inclusive of a one-year option and interest of 150 basis points over LIBOR, a $130 million term loan that matures in June 2020 with interest at 175 basis points over LIBOR of which interest of 3.91% is fixed with an interest rate swap agreement, and two existing term loans totaling $120 million maturing in June 2020, which bear interest at 175 basis points over LIBOR., a notional amount of $40 million being fixed at 3.29% and $80 million being fixed at 3.86% with interest rate swap agreements. In addition, we have approximately $80 million of Fannie Mae secured term debt maturing in July 2015 pre-payable without penalty at the end of 2014. At March 31, we had $343 million available to draw on our revolving credit facility. At March 31, we had ongoing construction commitments with four tenants totaling $27 million. The total advanced so far on these projects for land and construction amounts to $11,056,000. We expect our normal monthly cash flows and borrowings and our revolving credit facility will be the primary sources of capital to fund our operations at new investments in 2014. We are pursuing HUD secured financing of approximately $40 million for a small portion of our portfolio to pay down a revolving credit facility and extend the debt maturity beyond 30 years. We estimate the current fully loaded interest cost of HUD load to be 4.25% to 4.5%. As shown in our supplemental data report, we calculate our EBITDA coverage of our fixed charges to be 8.21. We calculate our consolidated debt to pro forma normalized EBITDA to be 3.721. We believe these debt metrics are important to maintaining a low leverage profile for NHI. In our earnings press release tables provided as an exhibit of Form 8-K this morning, we have provided a reconciliation of our normalized FFO and normalized AFFO guidance, which incorporates exchanges in our guidance estimate since year-end and the definitional changes in the reported metrics to achieve more consistency and reporting these metrics alongside our peer companies. We hope this reconciliation is helpful to our investors and analysts. I’d now like to turn the call back over to Justin with comments about our investment portfolio and our updated 2014 guidance.
Justin Hutchens - President and Chief Executive Officer: Thanks, Roger. Starting with our portfolio of performance, lease service coverage ratio continues to be in good shape with the weighted average lease service coverage ratio of 2.43 times. Details on the ratios for our property types can be found on page 6 of our supplemental. As mentioned on the last call, there were some seasonality considerations due to the weather that we had in the Midwest primarily in higher utilities and snow removal costs. In spite of the $250,000 of additional expense, EBITDARM is up 4.8% year-over-year and flat sequentially in the Bickford RIDEA portfolio. The Holiday portfolio continues to perform ahead of our underwriting with the lease service coverage ratio of 1.26, average occupancy improved in Q1 versus Q3 from 88.6% to 89%. As I look across our portfolio today, it has changed vastly over the past few years and greatly diversified in terms of revenues and geography. With 30 partners now in 30 states and 172 properties in total, we have a substantial presence in the West and the Midwest, and in addition to our historical concentration in the southeast, we are now national in scale, and we will look to put that scale to work. We will be doing so with a stronger capital structure as a result of the $200 million convertible senior notes offering and the new $700 million unsecured credit facilities we put in place during the quarter. The convertible notes we had a coupon of 3.25% and due in 2021. The new unsecured credit facilities include a new $450 million revolver and $250 million of term loans. All in, these transactions extended our maturities, fixed our interest rates and lowered our borrowing costs. We remain low leveraged with a 3.7 times debt to EBITDA ratio. We now have roughly $400 million in liquidity when considering credit facility capacity, cash on hand, and marketable securities. During the quarter, we completed a sale lease back transaction with Prestige Senior Living that included 105-bed assisted living and memory care community in Idaho and three skilled nursing facilities totaling 196 beds in Oregon for $42 million in total and an initial lease rate of 8.4%. The combined EBITDARM lease service coverage ratio of the four properties is 1.9 times, and the occupancy combines for an average of 88.5%. Approximately $2 million of the proceeds will be used by Prestige for CapEx improvements at the three skilled nursing facilities to maintain the solid market positioning. Prestige is a large established West Coast operator based in Washington, and this was the start of a new relationship with them. We also disclosed in a filing last month that we have a definitive agreement to purchase 72-bed assisted living, freestanding memory care community, and sacramental for $11.5 million that will be lease to existing, Chancellor Healthcare, at an initial lease rate of 8%. We expect that transaction to close in June. This community is 92.9% occupied with the $7,500 per unit and a lease service coverage ratio of 1.29 times. Our pipeline is very active and primarily private pay assisted-living assets. I will avoid giving any assurances related the timing of our potential investments for those who followed us for some time that timing has certainly been lumpy, but I’m encouraged by the amount and quality of opportunities we have under review. Turning to our outlook, we are raising our estimate for normalized FFO and normalized AFFO to adjust for the benefit of the Prestige transaction and the lower coupon rate on the convertible senior notes. This guidance does not include the impact of the Chancellor transaction expected to close in June, but it does include the impacts from the methodology change on normalized AFFO that Roger mentioned earlier. For 2014, we now expect normalized FFO to be in a range of 414 to 420 per diluted share. We expect normalized AFFO to be 369 to 375 per diluted share. I’m pleased – very pleased with the start to the year and the solid execution on our growth plans, we have the capital structure in place to continue to grow, and we look forward to reporting continued progress on all fronts during the year. Operator, we are now ready for questions.
Operator: Thank you. (Operator Instructions) And our first question comes from the line of Daniel Bernstein with Stifel. Please proceed.
Daniel Bernstein - Stifel: Hi, good morning.
Justin Hutchens: Hi, Dan. Good morning.
Daniel Bernstein - Stifel: I have a question on the shop portfolio. If you look at the national data, it looks like occupancy was up and from what a lot of other region operators reported the – their EBITDAR margin would have come down, expenses would have gone up a lot. It looks like for you the opposite had happened in your RIDEA portfolio. I was trying to understand the occupancy drop there, as well as just the drop in operating expenses over 4Q where there was something one-time in 4Q that helped you maintain a proper operating margin at the RIDEA portfolio.
Justin Hutchens: Right, okay. And also in addition to what you see here there is about 250,000 of additional expense that impacted the portfolio due to the weather related expenses. So, it was even – if you adjust for that, if you care to, it’s even probably better than what’s reflected. On the occupancy side of things, they have started beginning of the quarter right on track with where they left off which is a big improvement in Q4 and then about half way through the quarter, they started to experience just higher than expected move out and so far so good in this quarter, but there was no troubled community or nothing alarming about their occupancy change from my perspective. Pricing still holds, and then, obviously, they have – they are very good at managing expenses so, the margins have held up well.
Daniel Bernstein - Stifel: Do you think the impact of the flu was a little bit different for your geographies and maybe nationally? Obviously, it’s a local – the flu is a local item, so you could have – do you think your flu impact was any greater than the national impact that affected occupancy?
Justin Hutchens: It’s always a bit of a subjective measure, but this is a Midwest based portfolio so I would expect that it generally has a little bit more impact from the flu. Certainly, we had higher than expected move up from the second half of the quarter.
Daniel Bernstein - Stifel: Okay.
Justin Hutchens: But altogether I am very pleased and comfortable with the performance and look forward to their continued performance particularly as we fill up the new communities.
Daniel Bernstein - Stifel: Okay. And then on the acquisition front, I guess I’m trying to grapple with the idea of increased competition for assisted living. The 10-year is clearly heading – has headed back towards 2.5%, so cap rates are probably going to stay low. And yet your entire pipeline is seems to be mainly assisted living. What kind of cap rates are we going to expect? How are you finding transactions that are going to be a sufficient yield or meet your yield criteria going forward and how you do that without adding leverage like you do with the Holiday transaction, just trying to understand the strategy to buy assisted living in this environment?
Justin Hutchens: Okay, well, the very best way to buy it is assisted living or any property type is with our existing customers and the reason for that is that generally they are already operating the community, they need to do a sale leaseback for some kind of capital planning desire they have and they’re always going to want to leave cash flow in place in those operations. And, so, it’s – you’re not competing out in the open market. You’re not exiting an operator who has no ongoing interest in the property. So that the best economics come from our existing customers, and we have 30 of those and we’ve done a nice job, I think of having repeat business with many of our operators over the past several years and we’ll continue to service their needs. And then when we’re competing out in the open market, and we are in fact, exiting an operator, what we are looking for – and that was the case by the way, with this Chancellor investment – we’re just looking for the stabilized property that could even have some upside potential, but something that was very easy to underwrite. So, we are comfortable paying an A cap for a one-off asset in that case.
Daniel Bernstein - Stifel: Okay.
Justin Hutchens: You mentioned the competitive environment. It is very competitive, which I always like to point out is a complement to our asset class because it’s a tremendous stability over the past several years and all indicators are it will continue to have stability over the – in the future as well. So, it’s attracted a lot of competition, both with private equity and debt combinations as well as the REITs and the non-listed REITs, but I think that also has created a lot more potential volume out there in the market as well. So, we’re still getting opportunities. I think particularly the non-listed REITs are going to drive the cap rates down a bit and we’ll continue to and sell the 10-year, in fact, does drift up because of the lot of capital being raised ahead deployment. And when that happens, the pricing gets more aggressive. So whether they’re actually landing the deals or just bidding up the properties in a bid process, I see there will be some impact there from that that part of the competitive landscape. However, like I said, we’re giving lots of opportunities that are under review. So, I feel comfortable that we continue to get our fair share, and I think we’ve shown that already year-to-date.
Daniel Bernstein - Stifel: Okay, alright. Thanks for all the color, Justin.
Justin Hutchens: You bet.
Daniel Bernstein - Stifel: I’ll hop off.
Operator: (Operator Instructions) Our next question comes from the line of Juan Sanabria with Bank of America. Please proceed.
Juan Sanabria – Bank of America: Good morning, guys. Just a couple questions. Justin, could you remind us or give us your latest thoughts on potential timing of the soon to be stabilized RIDEA portfolio with Bickford and how you are thinking about that?
Justin Hutchens: Are you talking about the new construction assets?
Juan Sanabria – Bank of America: I think it’s close to $100 million of potential options for acquisitions.
Justin Hutchens: Oh, okay, yes. You’re referring to a portfolio of fixed assets that NHI has a $97 million purchased option, it’s really NHI and Bickford through our joint venture has the purchase option. Bickford – another Bickford entity currently owns that portfolio. They bought it from a JV partner for $97 million. The JVs that were in with them retains the right to purchase at that same price. When Bickford purchased the portfolio, they purchased for a 7 cap. We wanted to see the NOI stabilized and so that we can purchase at an 8 cap or better. That has not happen yet. So, we continue to review. I would not be surprise surprised if that’s a late 2014 or early 2015 potentail execution.
Juan Sanabria – Bank of America: Okay. And how would you characterize generally your pipeline of opportunities ex this potential RIDEA portfolio purchase? How does it compare to the last couple of quarters, has it grown or how confident are you on the ability to continue to execute on deals, I guess?
Justin Hutchens: I would – in my prepared remarks I said our pipeline is very active. That was excluding the Bickford portfolio that you just referenced. So, I feel as though we’re getting our fair share of opportunities that are under review, and I do have confidence in our ability to continue to grow.
Juan Sanabria – Bank of America: Okay. And could you just comment a little bit, I think is a new disclosure on the purchase options it seems like your tenants have. What the purchase option is in 2014? It seems like there is a fairly sizable one in 2016 in this SNF portfolio.
Justin Hutchens: Sure, for everyone that’s listening, you’ll notice in our supplemental that we disclosed tenant purchase options for the first time. The reason we did this is because there was a merger in the industry were highlighted purchase options that operators have and some of the REIT involved potentially had some income at risk because of those purchase options overtime. While because of where we stand which we think this is very minimal impact overtime. We wanted to go ahead and put the schedule out so that questions can be asked and shareholders will be very clear about the potential. What you’ll notice is that in 2016 and in 2018, those are the biggest impact in the near- term. If you want to call that near-term and that’s one operator that has a purchase option and when we – I don’t remember the exact figures, but when we negotiated any purchase option we have, there is a very nice return to NHI when the purchase option is executed. That really enhances our return. There is also strong potential that we would have found a way to negotiate a least extension ahead of purchase options. That would be our general intent. And if you look out beyond 2018, there is – it’s very immaterial what we have available to operators in terms of purchase options and there was a REIT that was no longer in play that was doing a lot of deals with purchase options since they’ve been out of the marketplace, they really hasn’t been much demand for that. We have addressed the operator interest in realizing some of the equity they create overtime by offering earn-outs. And so that’s why you have very minimal impact on the purchase options in our case.
Juan Sanabria – Bank of America: Great. So are all of these at fair market purchase options and do you expect a 2014 purchase option, that small one to be executed or do you not have any insights as of yet on that one?
Justin Hutchens: I don’t know, I kind of doubt it. It’s been open for a long time that purchase option window, so I don’t think that will get executed. And then there is a fair market component, but there is also a formula driven – the price of the purchase option is also formula driven so, there is guaranteed minimum return to NHI if they do get executed.
Juan Sanabria – Bank of America: Okay, great. And just the last question, do you guys have any guidance for the all in G&A we should be expecting for the year?
Justin Hutchens: We did not give guidance specific to G&A. So, but it’s baked into our total guidance.
Juan Sanabria – Bank of America: How about – can you comment on the first quarter as a run rate? Is that a fair run rate?
Roger Hopkins: Juan, this is Roger. The non-cash stock-based compensation that I described in my prepared remarks for G&A and as typical the first quarter is front-loaded with that non-cash cost. So, we take that non-recurring cost out of the first quarter then you’ve got a run rate for the year.
Juan Sanabria – Bank of America: Great, thanks.
Roger Hopkins: Alright.
Justin Hutchens: Thanks, Juan.
Operator: And our next question comes from the line of Karin Ford with KeyBanc Capital Markets. Please proceed.
Justin Hutchens: Hi, Karin.
Karin Ford – KeyBanc Capital Markets: Hi, good morning. First question is, was there any percentage rent from NHC in the quarter?
Justin Hutchens: There is percentage rent, yes.
Karin Ford – KeyBanc Capital Markets: Can you tell us what the amount was?
Justin Hutchens: I’ll be glad to give it to you. We disclosed that in our footnotes, and I’m just turning to it right now.
Karin Ford – KeyBanc Capital Markets: Apologize, I just missed it.
Justin Hutchens: Percentage rent was $566,000 and then we had a little true up from the prior year, it was – a year ago, it was $569,000.
Karin Ford – KeyBanc Capital Markets: Great, thanks. Next question is just on the guidance increase, just for simplification purposes looking at it on an apples-to-apples basis as you disclosed it. The $0.06 increase, it sounded like it was the Prestige deal and the refinancing, were there any other contributors or negatives in the change in the guidance there?
Justin Hutchens: No, you’re exactly right. We have clarity now that’s the top-end of that range and that’s excluding any additional investment activity and the things that the moving parts we had in the first quarter were obviously largely because we have the acquisition. And then we had very significant refinancing and so, now that we have clarity on those two fronts, we’re able to raise guidance and the $0.06 increase is reflected.
Karin Ford – KeyBanc Capital Markets: Great, and what was the depreciation that you used to exclude in the old methodology?
Justin Hutchens: We – we’re including all depreciation in the new methodology. If there was any operating equipment and that sort of thing that was particular to our triple net leases we did not included. Given our frankly our increase in size and also the debt refinancing, particularly the convertible debt in the first quarter. This gave us really a good opportunity to review our larger peers and to challenge ourselves on how we were reporting FFO and what’s we study that and study their peers, we said, okay, how do we make this very transparent for those that are modeling our metrics? How do we do that and so really that culminated in the 8-K this morning where we described previously reported metrics and then the metrics given our new interpretation. And then that also is baked into our guidance reconciliation in our press release tables this morning.
Karin Ford – KeyBanc Capital Markets: Thanks for the color. And then just last question, can you just talk about the lease-up progress at the two Bickford developments and where you will ultimately expect the yield to shake out on those when they’re done?
Justin Hutchens: Sure, they open – both of them opened in fourth quarter. They’re both about half full and ahead of our budgeted expectation for fill up, and at stabilization we expect a low double-digit yield.
Karin Ford – KeyBanc Capital Markets: Well, that’s great. Okay, thank you.
Operator: And our next question comes from the line of Todd Stender with Wells Fargo. Please proceed.
Todd Stender – Wells Fargo: Hi, thanks guys.
Justin Hutchens: Hi, Todd.
Todd Stender – Wells Fargo: Good morning, Justin, I think you talked a little bit about Prestige. Can we hear a little bit more about them maybe what their track record is, how they are looking at growth and do you have right of first refusal or any other perspective deals with Prestige?
Justin Hutchens: Okay, sure. Prestige as I mentioned as they are based in Vancouver, Washington. They have been in business for 25 years, they operate 80 properties, one of the unique aspects to proceed to the fact that they operate skilled nursing and assisted living and they’re good at both. They truly have expertise in both areas and a track record in both areas, which is unique because usually you have a concentration and operators will be exceptionally good at skilled nursing and they might do some assisted living, but they don’t necessarily do it well. Were I’ve assisted living companies that are taken on some skilled nursing and they don’t necessarily do the skilled nursing so Prestige – they have both going for them. We do not have a right of first refusal on future business. I’m confident we’ll have future business with them. The relationship is started out very good and certainly in both cases, in NHI’s case and in Prestige’s case, the investment together provided the opportunity to get the relationships started so, we can review potential acquisitions that their company will have and also new development that they will consider.
Todd Stender – Wells Fargo: That’s helpful. Thanks, Justin, and this deal included an earn-out. Is that common in some of your deals and if Prestige does earn this, how much does that impact your yield?
Justin Hutchens: Okay, great question. The – I’ll start with is the comment in our deals. We do tend to offer earn-out because operators often times will – they are hesitant about selling real-estate because they’re giving up potential upside in the real-estate to NHI or to any REIT. And so what we try to do is offer an earn-out so that we’re paying out that equity, they have a method they can use as a improved operating performance to have an equity payout. And the case of Prestige, they have a reimbursement adjustment that is already occurred that supports a large majority of the – at least about half of that earn-out payment, and we’ve accounted for that in our accounting. And then we also agreed to fund CapEx so that we could support their strong market positioning that the communities have today. So, if you have the opportunity to improve your asset, you have the opportunity to incentivize continued better performance to the operator and also give the operator a comfort level that they can access equity that they have created over time then we’re happy to consider it. It does not affect our yield because the earn-outs are paid at whatever the in place yields is at the time the earn-out is paid. So, for instance if we start an investment of 8.5% and it’s escalated at 3%, that new yield is the amount that the operator will pay for their earn-out when it’s funded. We also consider coverage ratios. They have to qualify the minimum coverage ratio when we fund the earn-out, I mentioned on the prepared remarks, they have a 1.9 times coverage ratio that is, of course, an EBITDARM coverage ratio that we utilize because our peers report on EBITDARM. When we underwrite assets, we utilized EBITDARM and then we – which would have adjusted for that 5% management fee and then $500 of it CapEx. In the case of Prestige, they’re covering at about 1.52 times on that underwritten lease service coverage ratio that we utilized and then once we fund their earn-outs assuming they’re funded over time, we think the combined lease service coverage ratio for the four properties would be about 1.45 times. And so, what you’re getting there is you’re getting 1.5 times on the skilled nursing assets and then you’re getting something a little lower than that on the assisted living community. So, the blended would be 145. So, you can see that no impact on yield. I think it’s a good incentive in place for the operator, and then, also we’re still credit conscious when we are funding these earn-out so the lease service coverage ratio remains strong even after we fund those.
Todd Stender – Wells Fargo: That’s very helpful. Thanks, Justin. And, Roger, I think you mentioned you are seeking the HUD financing to term out the line balance. What is the current line balance and are there any other capital sources you are assuming to take out the line or is it just the HUD, I think you said about 4.25% or 4.5%?
Roger Hopkins: Yes, right now, we’re just looking at HUD, the line balance was $107 million at the end of the quarter and we’re hoping that we can close this HUD loan perhaps even by the end of the third quarter, hopefully no later than the end of the year.
Todd Stender – Wells Fargo: Okay, thanks. And just lastly, Roger, just wanted to get an update on your further tolerance to add debt as you guys ramp it up, I think you are just shy of about 4 times debt to EBITDA. What do you think that will look like by year-end?
Roger Hopkins: We do have capacity. We are very low leveraged that very, very important to us to remain low levered as we described our debt metrics in my prepared remarks. I expect that we would fund acquisitions on our revolver unless there was something very large. As an example, last December when we funded the Holiday transaction, we actually funded it with more equity than with debt. We’re of the size of the debt profile now that over a period of time about 60% of what we raise will be in the form of equity. It could be on a specific transaction. It’s certainly one but a large transaction. Otherwise, we would look over about a year or two and you would say that NHI funded its pipeline with about 60% equity.
Todd Stender – Wells Fargo: Great. Thank you.
Justin Hutchens: Thanks, Todd.
Operator: And we do have a follow-up question coming from the line of Daniel Bernstein with Stifel. Please proceed.
Daniel Bernstein – Stifel: Hey, guys, just a quick question on the Prestige assets you are buying. You talked a little bit about the census there, Medicaid versus Medicare versus managed care, and how they are doing compared to what you normally look at skilled nursing and whether they can improve upon that or not?
Justin Hutchens: I don’t have all of those metrics right in front of me. I can tell you the skilled nursing assets are fairly traditional. I think there are around probably a 30% Q mix. And then the assisted living in Idaho does have some Medicaid, I can’t remember the percentage, both, well, all four assets were what I would consider stabilized. I don’t think Prestige is trying to pursue a lot of upside there. They’re just trying to maintain what’s been – what we have considered to be a very solid historical performance that was very easy to underwrite. This wasn’t a – it’s not a turnaround story. It’s not a lease-up opportunity. These are stabilized assets and the new relationship and where the operator was able to take capital off the table, but left plentiful cash flow in place to support their business on a go forward basis.
Daniel Bernstein – Stifel: Okay, that’s good. Thank you very much.
Operator: And Mr. Justin, there are no further questions at this time. I will now turn the call back to you.
Justin Hutchens - President and Chief Executive Officer: Okay, thank you for the participation on our call today. We are attending and presenting at NAREIT next month. We look forward to seeing many of you there or speaking with you on the second quarter call.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.